Operator: Good morning, and welcome to the Travelzoo's Fourth Quarter 2025 Earnings Call. Today's conference is being recorded. [Operator Instructions] The company would like to remind you that all statements made during this conference call and presented in the slides that are not statements of historical facts, constituted forward-looking statements and are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Actual results could vary materially from those contained in the forward-looking statements. Factors that could cause actual results to differ materially from those in the forward-looking statements are described in the company's Forms 10-K and 10-Q and other SEC filings. Unless required by law, the company undertakes no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. Please refer to the company's website for important information, including the company's earnings press release issued earlier today. An archived recording of this conference call will be made available on the company's Investor Relations website at travelzoo.com/ir. Now it is my pleasure to turn the floor over to Travelzoo's Global CEO, Holger Bartel; its Chair, Chief Membership Officer and General Counsel and CEO of Jack's Flight Club, Christina Ciocca; and its Financial Controller, North America, Jeff Hoffman. Jeff will start with an overview.
Jeff Hoffman: Thank you, operator, and welcome to those of you joining us. Today, I'm stepping in for Lijun, our Chief Accounting Officer. Please refer to the management presentation to follow along with our prepared remarks. The presentation in PDF format is available on our Investor Relations site at travelzoo.com/ir. Let's begin with Slide 4. Travelzoo's consolidated Q4 revenue was $22.5 million, up 9% from the prior year. In constant currencies, revenue was $22.1 million, up 7% from the prior year. Operating income, which we as management call operating profit, decreased as expected as we invested more in the growth of Club Members. Q4 operating profit was $0.6 million or 3% of revenue, down from $4.9 million in the prior year. Let me explain the rationale for a significant increase in marketing expenses, which lowered EPS. Slide 5 shows that investments in the acquisition of Club Members are attractive as they have a quick payback. On the left side, you will see that average acquisition cost for a full paying Club Member was $28 in Q1, $38 in Q2, $40 in Q3 and $34 in Q4. On the right side, you see that we get this money back fast. The member pays, in the U.S. in this case here, their $40 annual membership fee right away at the beginning of the membership period. Additionally, we generated $10 in revenue from transactions in the same quarter. This full payback doesn't even consider an increase in advertising revenue and future membership fees and other revenues. Now Slide 6 shows as a reminder that with subscription businesses, membership fee revenue is recognized ratably over the subscription period, whereas acquisition costs are expensed immediately when incurred. Slide 7 shows the effect. While we have a quick payback, the reported EPS is different. Higher member acquisition expenses, coupled with only a small portion of revenue recognized in the quarter reduces EPS. In the case of Q4, that effect was a reduction of approximately $0.08. As shown on Slide 8, our strategy is fueling membership growth at a rate of 180% year-to-date. New Club Members come roughly half from legacy members and half from those new to Travelzoo. On Slide 9, we break down the main categories of revenues, advertising and commerce and membership fees. Advertising and commerce revenue was $18.3 million for Q4 2025. Revenue from membership fees increased to $4.1 million. Membership fees, which are more stable and predictable, are adding revenue and are becoming a larger share. This year, we expect them to account for about -- for around 25% of revenue. On Slide 10, you can see that revenue growth came from all reporting segments. Investment in member acquisition in Europe led to a loss. G&A expenses increased primarily due to a onetime expense related to a global company meeting. Operating profit on our North America and Europe segments was lower. Operating profit on our Jack's Flight Club segment remained flat. On Slide 11, you can see that our GAAP operating margin was 2% in Q4 2025. Acquiring more Club Members has the effect of lower GAAP operating margin. Still, given the favorable ROI, our goal is to further grow the number of Club Members to accelerate Travelzoo's growth. Slide 12 shows that the investments in Club Members occur in all key markets. Over time, we expect margins to return to previous levels or even exceed them. On Slide 13, we provide information on non-GAAP operating profit as we believe it better explains how we evaluate financial performance. Q4 2025 non-GAAP operating profit was $0.9 million or 4% of revenue compared to non-GAAP operating profit of $5.4 million in the prior year period. Slide 14 provides information about the items that are excluded in the calculation of non-GAAP operating profit. Please turn to Slide 15. As of December 31, 2025, consolidated cash, cash equivalents and restricted cash was $10.8 million. Cash flow from operations was $1.5 million. Our cash balance increased accordingly. Now looking ahead, for Q1 2026, we expect year-over-year growth to continue. We expect continued revenue growth in subsequent quarters as membership fees revenue is recognized ratably over the subscription period of 12 months. As we acquire new members, as more legacy members become Club Members. Over time, we expect profitability to increase as recurring membership fees revenue will be recognized. In the short term, fluctuations in reported net income are possible. We might see attractive opportunities to increase marketing, and we expense marketing costs immediately. Now I turn the discussion over to Holger.
Holger Bartel: Thank you, Jeff. We will continue to leverage Travelzoo's global reach, our trusted brand and the strong relationships with top travel suppliers to negotiate more Club Offers for Club Members. Travelzoo members are affluent, active and open to new experiences. We inspire travel enthusiasts to travel to places they never imagined they could. Travelzoo is the must-have membership for those who love to travel as much as we do. Please turn to Slide 17. Membership empowers travelers to live the life of a modern travel enthusiast to the fullest while respecting different cultures. Membership provides access to high-quality and highly-valuable Club Offers. Our global team negotiates and vets them rigorously. These offers cannot be found anywhere else. Membership also provides complimentary access to airport lounges worldwide in case of flight delays. And we just launched in partnership with Allianz, the first Travel Enthusiast Hotline, providing 24/7 complimentary assistance wherever Club Members travel. Culinary Journeys created for the travel enthusiasts are coming soon. Slide 18 shows a few of the many exclusive Club Offers that we created for Club Members during Q4. Our members love luxurious trips. So on the left side, we had a Bali 5-star Jungle Spa Retreat for 2 people at an amazing price of $499. Below, Costa Rica 5-star new resort with an upgrade for Travelzoo members to an Ocean View room. A $499 Portugal trip that includes round-trip flights from the U.S. or in London, a Top West End Show with dinner for GBP 75 per person. Slide 19 shows the worldwide complimentary launch access in case of flight delays. It's perfect for the travel enthusiasts. Slide 20 then provides information about Travelzoo members. As you see Travelzoo is loved by travel enthusiasts who are affluent, active and open to new experiences. On Slide 22, we provide an overview of our management focus. We are working to grow the number of paying members and accelerate revenue growth by converting legacy members and adding new Club Members, retain and grow our profitable advertising business from the popular top 20 product, accelerate revenue growth, which drives future profits in spite of temporary lower EPS, grow Jack's Flight Club's profitable subscription revenue and developed Travelzoo META with discipline. Now Christina will provide an update on Travelzoo META and Jack's Flight Club.
Christina Ciocca: We are excited to announce that we now expect the first Travelzoo META experiences to become available in Q2 2026. We are planning to incorporate access to Travelzoo META as a benefit of Travelzoo Club Membership. Through Jack's Flight Club, we focused in Q4 on profitability, while acquiring sufficient premium subscribers to offset attrition. This was due to other investment priorities. I'm now handing over to the operator for questions for Jeff, Holger and me.
Operator: [Operator Instructions] We will take our first question from Michael Kupinski with NOBLE Capital Markets.
Michael Kupinski: Just a couple of questions on the revenues, particularly on the advertising and commerce, it decreased sequentially, and I was wondering if you can add some color on the reasons that, that was down. And then on membership fees, that increased only $0.5 million from the previous quarter, and that was a slowing of the cadence as well, which was 20% from the previous quarter. So just on the revenue trend. So if you could just add some color both on the membership fees as well as the advertising and commerce as well.
Holger Bartel: Yes, you are right. Revenue from advertising and commerce was a bit soft in Q4. So far, we see that softness to continue a bit more into Q1 as well. Really no specific reason that we can point out. We've been focused very much on membership and adding new members. And it's as I said, no -- really no specific reason I can point out why it was a little bit soft. And then membership fees, I think it's probably mostly a rounding issue the change from Q3 to -- Q2 to Q3, Q3 to Q4 was really not that substantial. We expect that to increase, that quarterly revenue increase. We expect that to increase in 2026 as we are looking to spend more on member acquisition this year than in 2025 as long as we can maintain and achieve the positive return and quick payback that Jeff was talking about.
Michael Kupinski: And if I can slip one in. G&A was a little higher than expected. Anything extraordinary in those numbers?
Holger Bartel: I think Jeff mentioned it, we had a one-time expense related to a global company meeting that we held in Q4. So it's not a permanent increase. It's just a temporary increase in Q4.
Operator: Your next question comes from the line of Patrick Sholl with Barrington Research.
Patrick Sholl: Kind of just your comments around profitability and marketing expense. So I think marketing expenses were up like 30% just full year. Do you kind of see that as like the peak level or like that you'd be able to leverage additional growth off of? Or do you kind of see that continuing to move higher? And I guess, can you maybe sort of like reconcile the comments on the payback with like the lower operating cash flow for basically each quarter in 2025 year-over-year?
Holger Bartel: As I mentioned, as long as we can maintain a good return and the quick payback that Jeff was talking about, we would increase member acquisition in 2026. So we are planning to increase it over 2025. And as we've now explained for a few quarters, that in the short term always impacts EPS. However, as we move throughout 2026, and we have now recurring revenue coming in for members that are renewing after the first year of membership. And for these members, we don't have to spend anything on member acquisition. They are simply renewing their membership. So that revenue will increase without expenses related to that. So that will, over time, improve EPS. But as we said, cautiously in the last few earnings statements, we do not know in advance what the opportunities for member acquisition are. If we really see good opportunities, we might spend very aggressively, and that will certainly impact EPS in the short term as it has in Q3 and Q4.
Patrick Sholl: Okay. And then just could you maybe talk a little bit about churn within that initial member cohort and how you're expecting that to go with the members that you added through 2025. I guess like the thing that kind of kicks that one off is just like the decline in the deferred revenue balance in the quarter.
Holger Bartel: It's too early to judge that because as you saw from that slide that showed the growth of Club Members, most Club Members joined in the first quarter of 2025. Their renewal is coming up now. So it's a bit too early to comment on that. As you also see, we are adding new benefits for our club members, and we hear that they are very much appreciated by the members, and that will lock these members in over a longer period of time even if they don't necessarily find a specific offer that they would like to buy in a certain quarter at a certain time.
Operator: Your next question comes from the line of Steve Silver with Argus Research.
Steven Silver: Holger, the slides early on mentioned the potential for additional advertising revenue from membership fees and -- or the membership revenues affecting potential advertising revenues from advertising, just curious as to where you think the member base -- the paid member base needs to be in order to reach a critical mass in terms of having an impact on that incremental advertising revenue.
Holger Bartel: Well, as we are adding new members, we are also -- this also allows us to increase or maintain our advertising rates. So that's -- I don't think there's a specific point where we can say it makes a huge -- it makes a big difference. So as we are growing, it allows us to also maintain and then improve our advertising business. But as I said, we are really looking to drive members' membership and the growth of members in 2026 more aggressively because that revenue, which currently is around $4 million, as you saw, that revenue is recurring, very stable revenue while advertising and commerce revenues are always a bit contingent on the situation of how many offers we can source, what these offers are, if they are good or very good and the appetite of our advertisers. So that's less controllable while membership revenue is recurring, stable, and that's why we decided 2 years ago to move to a model of a subscription, a paid subscription and created Travelzoo Club.
Steven Silver: That's helpful. Great. And one more, if I may. Can you just discuss a little bit about the underlying trends that led to the lower cost of new customer acquisition in Q4. I know you've mentioned seeing -- or taking advantage of opportunities as they arise, maybe being a little more aggressive in some periods versus others. But can you just talk a little bit about the underlying trends between Q3 and Q4 that led to the lower cost per acquired member?
Holger Bartel: Christina is overseeing this. So she will respond to this question, Steve.
Christina Ciocca: Sure. So I think it's a combination of factors. So hard to pinpoint exactly what drove the lower cost per acquisition. But in general, actually Q4, we tend to see more difficult cost per acquisitions with certain channels like META and Google, but we were able to manage that with kind of optimization that we made through the user experience. We had member days in Q4 that helped to drive the lower CPAs and we were kind of cautious with spending as efficiently as possible. So I think that resulted in a lower CPA in Q4 as compared to Q3.
Holger Bartel: It's contingent, though, Steve, on how much we invest in member acquisition. If we scale it as we are planning to do now in 2026, that normally makes CPAs go up a little bit. But from that slide, you see that we were still under the threshold of where we could spend because $34 and then we get $40 back from the membership fee and we get additional revenue from these members, we could have spent more in Q4. And so our plan is going forward to get a little bit closer to that threshold. And so having said that, CPA on the one hand, as Christina explained, CPA, we have a positive impact on CPA through learning how to do things better. On the other hand, CPA will go up if we spend more. But as long as we are staying within that quick payback, we feel comfortable that we can maintain that. Someone mentioned earlier a question about cash, maybe it was Pat or Michael. As you see, our operating cash flow in Q4 was positive. In general, member acquisition as long as we can maintain the numbers that we showed on this earlier slide, we are able to finance that member acquisition through the cash we are generating because the member has to pay their 12-month membership fee at the beginning of the membership. So that brings in this $40 and if we can acquire them below $40, the impact on our cash situation is basically neutral.
Operator: Your next question comes from the line of Ed Woo with Ascendant Capital.
Edward Woo: My question is, what are you seeing out there in terms of the industry travel outlook for this year 2026?
Holger Bartel: I think in travel, we see a little bit the same as what people are seeing in the U.S. economy that it's diverging on the one hand, luxury travel is absolutely booming. In fact, you might have also read that hotel rates at 5-star properties around the world have reached the highest ever and the increase from 2024 to 2025 was also quite strong. While on the other hand, lower-end travel, cheaper travel is more challenging. However, you saw from the demographic that our members are generally more on the upper end. They are higher income. They can spend. They have the money to stay at 5-star properties and maybe that's also what was the -- what was explaining a bit the softness in Q4 and now the softness in Q1 in advertising and commerce, it is challenging. It's a bit challenging right now to get really very aggressive offers from luxury properties. But I think that the supplier on these properties is increasing. There's many, many new hotels operating -- sorry, opening all around the globe and they need to fill their beds. We feel that, that will become better going forward. But that trend is similar to what I think we are seeing in the U.S. economy in general.
Edward Woo: Great. And this is the same trend you're seeing in Europe and Asia?
Holger Bartel: Yes. There's no big difference between the market. More pronounced in the U.S., I would say, just let me add that, yes, but the trend is the same, but it's a bit more pronounced in the U.S.
Operator: Your next question comes from the line of Theodore O'Neill with Litchfield Hills Research. Please go ahead.
Theodore O'Neill: Holger, the new annual fees for 2026 are $50 per member and it looks like. And so existing members, will they -- who are paying $40, do they now pay $50? Or does that apply -- the $50 applies to new members only?
Holger Bartel: Good catch, Theo. Yes, I was talking about $40 because we were speaking about Q4. In the U.S., we increased the membership fee to $50, correct. We did not increase it in other markets. We increased it on January 1, but then we gave existing members an opportunity to renew at the old rate of $40 before the end of January. But anyone who didn't take advantage of the opportunity has to pay the $50 now going forward, whether that's someone new to Travelzoo or whether that is anyone who is renewing their membership that expires after February 1.
Theodore O'Neill: Okay. And on the balance sheet, accounts receivable dropped. So it looks like your DSOs went up. Is that a happy coincidence? Or was there an active plan to try to bring receivables down?
Holger Bartel: I'm happy -- I was happy to see that our team is doing a better job collecting receivables. Jeff, do you have any more insight on that part of the balance sheet?
Jeff Hoffman: No, I would say that more aggressive outreach with our clients to ensure that we're getting paid on a timely basis is consistent with prior quarters. I think it was most likely a happy coincidence.
Operator: This concludes the Q&A portion of today's call. I would like to turn the call back over to Mr. Holger Bartel for closing remarks.
Holger Bartel: Yes. Dear investors, thank you so much for your time and support. We look forward to speaking with you again next quarter. Have a great day.
Operator: This concludes today's Travelzoo's Fourth Quarter 2025 Earnings Call and webcast. You may disconnect your lines at this time, and have a wonderful day.